Operator: Good morning and welcome to the Heliogen, Incorporated Full Year 2021 Conference Call. As a reminder, today's call is being recorded. [Operator Instructions] I would now like to turn the call over to Louis Baltimore, Heliogen's Vice President of Investor Relations for opening remarks and introductions. Please proceed.
Louis Baltimore: Thank you, operator and good morning to everyone. We're glad you could join us today for our full year 2021 conference call. With us on today's call are Bill Gross. Heliogen's Founder & Chief Executive Officer; and Christie Obiaya, our Chief Financial Officer. Heliogen issues its results yesterday in a press release that can be found on the Investor Section of our website at heliogen.com. As a reminder, our comments on this call include forward-looking statements which are subject to various risks and uncertainties. These statements include expectations and assumptions regarding the company's future operations, and financial performance, including our guidance for 2022. Actual results could differ materially from those contemplated in the forward-looking statements. Any forward-looking statements that we make on this call are based on assumptions as of today, and we undertake no obligation to update these statements as a result of new information or future events. Factors that could cause actual results to differ materially can be found in yesterday's press release and other documents filed with the SEC by the company from time to time. During this call, we may also refer to certain non-GAAP financial measures, including EBITDA and adjusted EBITDA. These non-GAAP measures should be considered in addition to and not as a substitute for or in isolation from GAAP results. More detailed information about these measures and a reconciliation to the most comparable U.S GAAP measures is contained in the press release issued last night, which is available on the Investor Section of our website and was furnished on Form 8-K with the SEC. A replay of this call will also be available on the Investor Section of our company website this afternoon. And with that, I'm pleased to turn the call over to Bill Gross, our Founder & Chief Executive Officer.
Bill Gross: Thank you, Louis, and thanks to everyone for joining us this morning. I'm incredibly excited to speak with you today on our first earnings call. If you turn to Page 4 of the earnings presentation we posted on our website, I'd like to begin with review of the nature of Heliogen's business. What makes our company unique, and why we believe Heliogen's technology can help change the world. At its core, Heliogen's mission is to decarbonize heavy industry, utilizing a combination of leading-edge technologies to replace fossil fuel energy with concentrated sunlight. Heliogen provides clean solar thermal energy, which can be used to make heat, electric power or green hydrogen. We call those products HelioHeat, HelioPower, and HelioFuel. Global demand for carbon free energy is skyrocketing in light of fossil fuel price increases, and the volatility of those prices, as well as the growing commitments by companies and countries around the world to reduce their carbon emissions. Our company addresses these critical needs. Cement companies, mining companies, steel companies, oil and gas companies, and hundreds of other huge industrial customers are looking to reduce their carbon emissions and eliminate fossil fuel costs volatility from their planning processes. To address all these imperatives, and decarbonize heavy industry, Heliogen has innovated, and is now scaling a new generation of concentrated solar thermal energy production that is modular, AI powered and scalable. As a result, our technology can be installed behind the meter on our customers premises to avoid or lessen their purchase of fossil fuels and enable them to take control of their own energy generation on site. Turning to Page 6, you'll see more about the key insights and inventions that led to Heliogen's breakthrough approach. The first is that we've coupled advanced graphics processing units, with AI based control systems to move thousands of mirrors automatically with real time feedback and more precision than ever before. This proprietary closed loop tracking system allows Heliogen to optimize sunlight concentration, enabling us to efficiently generate thermal energy at temperatures from 150 up to 1,000 degrees Celsius, a far larger range than previously possible with traditional concentrated solar power. This closed loop tracking system is superior to the older open loop systems that relied only on preprogrammed maps of the sun's movement and were therefore relatively inefficient. We expect that the closed loop Heliogen systems will be significantly more efficient than their open loop counterparts. Closed loop tracking will also enable Heliogen to eliminate weeks of Heliostat field calibration when a new facility of one or more modules is started up. Additionally, as the ground shifts and as equipment settles over time, the traditional open loop systems require manually intensive recalibration out in the field every 6 months or so. Recalibration can be expensive and results in system downtime. It's our closed loop system, is actively monitoring and adjusting the mirrors focus in real time. There is no separate recalibration process and no associated downtime. Plant operators get immediate insight into performance and maintenance needs. Second, this innovative AI based closed loop tracking system allows us to make our Heliostat significantly smaller than what's common on traditional CSP projects. Ours other size or large television screen compared to older systems, which use mirrors as large as a tennis court. This means our solar field can be manufactured efficiently in a factory at scale, like PV panels, instead of heavy construction out in the field. This enables mass production and rapid learning curve cost reduction that has not previously been applied to concentrated solar. With our more efficient, software driven system utilizing smaller mirrors, our modules are designed to take up as little as 3% of the space compared to traditional CSP fields you may have seen while flying in and out of various airports in Southern California and Nevada. This provides the potential for reduced cost to our customers, as well as supporting much more flexibility in the siting of these projects. The third innovation of ours is modularity. For example, for our power modules, we use these mass-produced Heliostats to build one 5 megawatts electric system and then replicate it with each additional module, generating another 5 megawatts. Modular design will allow us to standardize components to reduce overall costs, while also eliminating single points of failure. This modularity allows Heliogen to target the huge industrial market, and we are not limited to just the commercial scale wholesale utility market. We are the first company in concentrated solar that we know of, to develop a modular system like this. Previous concentrated solar was centralized, we are decentralized. And that is one thing that enables us to better service the industrial market. While there's a tremendous amount of capital, intellectual horsepower and competition in the energy transition, I believe Heliogen is uniquely positioned to be one of the big winners in this race to decarbonize our planet. To defend against competition, Heliogen has patented several of these innovations, and built a strong R&D effort to continue to advance our state-of-the-art technology. For Heliogen and our investors, we believe these unique competitive advantages will enable us to create a wide mode around our business. For our customers, this technology can be a game changer. We want to scale this in a very large way and down the road, we may license this technology to others. Another huge advantage that Heliogen's technology will provide beyond cost and modular flexibility is low-cost energy storage that is dramatically less expensive than batteries. Because Heliogen can achieve higher temperatures, Heliogen can shrink the footprint and the cost to store thermal energy in solid media, such as rocks, ceramic or sand, enabling near 24/7 operation and solving one of the key problems with most renewable energy intermittency. While most renewables provide power between about 20% and 40% of the time, called the capacity factor, Heliogen plans to build systems for its customers to provide a capacity factor of up to 85% depending on customer preferences. Industrial customers typically need that because they continue to run after the sun goes down, and on cloudy days, and Heliogen's technology will be able to uniquely support those needs. What this means is that Heliogen's technology will provide meaningful flexibility. It is flexible and scale, it is flexible in application, and it is flexible in time of use. But this did not occur overnight. Our team has spent 8 years improving all aspects of our technology, with the goal of achieving the record temperatures from concentrated sunlight that we have described. From the mirrors to the sunlight receivers to the full systems themselves, we are now on the fourth generation of technology innovation. And we will continue to innovate. Please turn to Page 7, and I'll talk more about some of the progress in our execution efforts that we've made over the past year or so. And later, I'll turn it over to Christie to talk about our commercial progress. To demonstrate our technological innovation, control system and modular plant design, we completed a 400-kilowatt test facility in Lancaster, California at the end of 2019. Here we have proven a demonstration scale, the tracking system, the storage, and carbon free steam production. On the renewable fuel front, we recently held successful trials producing green hydrogen with Bloom Energy at our Lancaster site. These trials combined Heliogen's proprietary solar thermal technology with Bloom Energy's proprietary solid oxide, high temperature electrolyzer to produce green hydrogen. By combining these two technologies, we aim to solve the cost problem that the hydrogen economy is struggling with so much today. Heliogen and Bloom demonstrated in a trial that together they can produce hydrogen significantly more efficiently than traditional low-cost PEM and alkaline electrolyzers. Substituting Heliogen's solar heat for some electricity use during the hydrogen production process will significantly reduce cost since our heat is a much more efficient source of energy than electricity. When combined with our thermal storage and renewable energy solution, we expect to be able to further improve the capital efficiency of the electrolyzer by powering the electrolyzer nearly 24/7. We also continue to devote significant energy to innovation and expansion of our capabilities. In December, we announced the execution of our $39 million award from the Department of Energy to support commercial scale deployment of our technology in combination with unique power system that has the potential to lower costs, water usage, equipment size and plant footprint as compared to other alternative types of power generation. After rigorous evaluation as part of a very competitive process, the DOE recognize the advantages of Heliogen's technology, and we received the largest award within the DOE Solar Technologies Office Fiscal Year 2020 funding program. In February, we announced the award of an exclusive lease agreement with the U.S Bureau of Land Management for the Brenda Solar Energy Zone in Arizona, where we plan to develop a site that could be sold to a prospective customer for the production of up to 20,000 metric tons of green hydrogen per year. This site is an ideal location for commercial green hydrogen production, due to its ample water supply and close proximity to key distribution channels. These projects should lead to greater innovation, and more opportunities for customers to take advantage of Heliogen's unique renewable energy solution. As we work to deliver on our mission and create shareholder value, I'll now provide you with an update on our operational progress. If you turn to Page 10, you'll see what we've laid out for you in chronological order. In February, we announced initial site preparation for our Heliostat manufacturing facility in Long Beach, California. This facility expected to be operational data this year, will be led by Andy Lambert, Heliogen's Chief Production and Supply Chain Officer who came over to us from SpaceX to lead our manufacturing effort. With state-of-the-art assembly lines, we believe this facility will give us the ability to ramp production rapidly and efficiently while reducing our production costs. It will also have a robust test facility and rapid deployment center for us to continue innovating and finding ways to squeeze out costs, while increasing performance of our systems. In addition to manufacturing efficiencies, we will also continue to optimize efficiencies for the operation in the facilities we are deploying for customers. As we announced in December, we have successfully demonstrated our Installation & Cleaning Autonomous Robot and Utility Solution or ICARUS as we call it, which will now allow Heliogen to do several things. First, ICARUS's cleaning function will maintain optimal reflectivity of our mirrors, enabling consistent, maximization of generated heat and the highest possible efficiency of our systems. Second, ICARUS positions Heliogen to be able to improve labor efficiency on our larger projects longer term by eliminating some of the ongoing repetitive tasks required by humans. We expect to deploy the autonomous cleaning function of ICARUS with one of our first full scale facilities. During the rest of 2022, we aim to achieve a series of key commercial and execution milestones, as summarized on Page 10. Now I'd like to turn it over to Christie Obiaya, our CFO.
Christie Obiaya: Thank you, Bill, and thanks to everyone for joining us. As Bill just laid out, 2021 was an important year for Heliogen, and one in which our business progressed on several fronts. This was due in the largest part to the hard work of all our employees who have been laser focused on driving our business forward. I'll start by talking about our commercial progress. Heavy industry is recognized as being a major contributor to carbon emissions. Right now our technology is already recognized as a potential game changer by many of the world's largest heavy industrial operators, ranging from energy to mining to steel. And we have commercial relationships in various stages with several of these companies, including Woodside Energy, Rio Tinto and ArcelorMittal. ArcelorMittal, one of the largest global steel companies, is a strategic investor in Heliogen, recognizing the value our systems could have for their own operations and beyond, as they have announced a goal of decreasing their carbon emissions by 30% in 2030, as compared with 2018. As we announced last year, Rio Tinto, the global mining and metals company, has selected Heliogen to deploy one of our modules at their mine in Boron, California. We've been working together to finalize the design and to structure the full contract for that facility. We've also discussed the potential for that to be the first of many commercial scale modules with them, as they've set targets to reduce their carbon intensity by 30% and their absolute emissions by 15% during this decade. Woodside Energy, currently the largest gas provider in Australia, is one of our strongest partners, and we now have multiple commercial arrangements with them. Last year, we began the early engineering and procurement work on a commercial scale module for Woodside in California. While we completed negotiations on the full contract. We were pleased to jointly announce yesterday with Woodside Energy that we have now signed the full contract for that facility. Permitting is underway. We are performing detailed engineering work, and we are engaging supply chain partners. We expect to begin construction once permitting is complete. This contract marks a major step forward in our commercialization plans. As part of that project, we've agreed with Woodside that we will include the scope and funding from the U.S Department of Energy award that we finalized last year. What that means is that in addition to demonstrating Heliogen's 5-megawatt power module. This project will provide the opportunity to deploy and test a new approach to converting solar thermal energy into power that has a potential to be more efficient than traditional approaches. Therefore, Heliogen and Woodside both get positive synergies from combining the DOE award with our first Woodside project. In addition to signing the commercial scale project contract, Heliogen and Woodside also signed a collaboration agreement to join the market and identify opportunities for deploying Heliogen's technology in Australia. The scope of our collaboration will include heat, power and hydrogen opportunities with prospective customers with operations in Australia, as well as within Woodside own Australia portfolio. Woodside has announced plans to invest $5 billion by 2030 towards decarbonizing its portfolio. And this year after its merger with BHP Billiton Energy portfolio, Woodside is set to become Australia's largest public energy company. We recognize they have unique familiarity with and access to industrial owner operators that could really benefit from Heliogen's technology. So, we're enthusiastic about this partnership to help Woodside achieve its energy transition targets, and to expand our business to one of the largest global markets for our technology. We are also pleased to share that along with these agreements, our strategic alliance with Woodside includes their equity participation. We continue to make progress on additional new customer opportunities. As we look to the future, we expect our efforts to be enhanced by supportive decarbonization imperatives by national and local governments, as well as by private industry and the associated require investment. For those who may be just learning about Heliogen story, let me explain our commercial approach to the market. We expect our initial projects to be based on building complete turnkey projects where we deploy Heliogen's technology and equipment ourselves. The Woodside project contracts that we just signed is a good example of this model. In the medium term, once we have engineering, procurement and construction, or EPC partners, with an established track record of helping us deploy our technology, we expect to transition towards acting as a supplier of Heliogen's technology and equipment, rather than being responsible for the installation. In the long-term, we also expect to use more of a licensing type model in which we license our patent protected technology to owner operators and EPC companies. We expect that this licensing model will result in faster scalability and stronger profit margin, but on lower revenue per module. That long-term model is not built into our financial forecast, and therefore represents a potential source of profitability upside. Now let me provide an overview of the steps of our typical sales process for our initial business model of building turnkey projects. Let's say for example, we have a customer interested in using Heliogen's technology for heat project. When we begin discussions, we will often enter into a term sheet or memorandum of understanding. And then we begin negotiations on the full facility, which will typically be multiple modules. During that time, we will sometimes earn revenue on engineering services, similar to the revenue that we earned in 2021. Then as the customer goes through their final investment decision on a project, we execute the full project contract to build the facility. Typically, it's a multiple month process to negotiate a commercial scale contract. And we're going through all the appropriate stages of that with our early prospective customers now. Once we have the full contract in place, we begin to recognize revenue during the engineering, procurement and construction project build out phase. After completion of the project, we expect to provide ongoing operations and maintenance services, which will be earned and billed under a separate agreement. Hopefully that gives you a sense of how we expect our financial outlook to unfold as we contract our early powers. Now, if you turn to Page 8 in the presentation, I'll walk through the key financial highlights for 2021 as well as some guidance for 2022. For 2021, we are pleased to share that Heliogen reported $8.8 million in revenue exceeding our prior projections by 10%. This revenue consisted primarily of engineering study work for one of our first commercial scale facilities. We ended 2021 with total liquidity of approximately $222 million following our business combination with the Athena Technologies. That liquidity includes investments from world class financial and strategic investors, including Morgan Stanley investment management, and ArcelorMittal. The $222 million consists of cash and cash equivalents of $190 million and investments available for sale of $32 million. These available for sale investments consists of short duration, high credit quality corporate bonds with maturities between 91 and 365 days at purchase. Turning to our 2022 guidance, we are guiding to a range of 2 to 3 Heliogen modules contracted, and we are initiating revenue guidance of $20 million to $25 million for this year. We are still in the early stages of our projects. So, there are a number of uncertainties that could result in us falling short of or exceeding these expectations, as we've outlined on Page 11. More importantly, we believe that our guidance around the number of modules contracted is currently the most useful indicator of the demand for Heliogen's products and technology. Over time, we expect these contracted numbers to be converted to revenue under the business models that I described a few moments ago. As more industrial operators make initial purchases of our technology, we expect demand to grow as a result of the demonstrated benefits. Our goal is for that to lead to replacing more and more of our customers' existing energy supply with HelioHeat, HelioPower and HelioFuel. Before we close, I'd like to address the impacts of commodity price driven inflation, a tight supply chain and how we are working to mitigate these impacts on our business. Like any company involved in energy capital projects, our business is not immune to raw material cost inflation. We're working closely with our customers and partners to mitigate these impacts as much as possible. As our costs have increased for certain materials, we've gone to our engineering team and supply chain partners and challenged them to reexamine our system designs with the goal of reducing usage of the impacted materials. We are pleased with the focus they've brought to this challenge so far, and we look forward to sharing more on this effort with you in the future. And while commodity price increases are a major driver of overall cost inflation and are largely unavoidable, our use of automation for manufacturing, and in the future for installation and maintenance will help insulate us as well as our customers longer term from future labor cost inflation relative to alternative energy technologies. At the same time, we recognize there are industrial operators who are much more directly impacted by fossil fuel price increases. We hope that through deployment of our technology, we will be able to help alleviate the burden of rising fossil fuel prices, so that our customers can lock in a more certain financial future powered by clean energy. While energy generated from burning fossil fuels is exposed to input cost fluctuation over our project's entire lifecycle, our products will largely eliminate the impact of future fossil fuel price movements over the life of the project. Our customer pipeline today is mostly mining companies and fossil fuel companies. These companies are naturally long, many of the commodities driving up prices around the world. So, they're seeing increased revenues and cash flow as a result. Since our goal is to provide clean solar energy at a price equivalent to what they pay for fossil fuel energy, those increasing input costs are making our products more competitive. As our customers compare the costs and benefits of our technology, not only to their legacy energy systems, but also to other sources of alternative energy, I want to point out that we're seeing the prices of precious metals and rare earth elements increase significantly more than the commodities that we rely on the most in terms of raw materials. So as a result, although all clean energy technologies will be needed to solve climate change, we believe Heliogen's technology will be an attractive alternative to some other clean energy technologies, such as lithium-ion battery storage. And with that, I'd now like to turn it back to Bill for closing remarks.
Bill Gross: Thank you, Christie. Before we open it up to Q&A, please turn to Page 9. I'd like to conclude today's call by saying how thrilled I am to lead Heliogen as we work to help industrial companies decarbonize by eliminating fossil fuels from their energy intensive processes. And we expect to help these same companies save money by reducing their fuel cost and the reliance on fossil fuels that are notoriously subject to major supply shocks, such as we are witnessing right now. Heliogen is offering a differentiated product to the large and growing industrial market by leveraging its proprietary technology. This technology is underpinned by cutting edge software that generates efficiencies never seen before in solar energy production. We expect our extensive patent portfolio, trade secrets and learnings to help us maintain and defend these competitive advantages. The potential of this software extends beyond the field too as we plan to apply AI technology across the entire value chain to reduce costs. On top of all this, we have put together one of the best teams I've ever worked with one that is well suited to this high growth innovation stage of our company's lifecycle. As we continue to grow our organization and make progress on our goals, I am honored to say that Heliogen was named earlier this month to fast company's annual list of the world's 50 most innovative companies of 2022. The award recognizes businesses that are making the biggest impact on their industries and culture as a whole. These sorts of accolades help us attract and retain the highest quality, mission focused people in the market. Energy is the biggest industry on Earth, and plays a critical role in nearly all of our comfort, safety and GDP. What's going on in the world today only further highlights the need for new and particularly renewable sources of energy. The sun provides 10,000 times more than all of humanity's needs. And it's been a dream all my life to harness it cost effectively and profitably for our energy. The demand is large. The timing is right, and we're in the right place at the right time. Thank you so much for your attention, and we look forward to answering your questions. I look forward to sharing our progress with you on future earnings calls. With that, we will now open up the line for Q&A. Thank you very much.
Operator: [Operator Instructions] Our first question comes from Rob Wertheimer with Melius Research. Please proceed.
Rob Wertheimer: Hi. Good morning, everybody. Thanks for the great summary of the business. My question is going to be kind of on your prospect funnel and how that turns into contracts. And Christie, you touched on this a little bit. But I know you've had considerable interest, I assume that interest has maybe gone up with some of the energy prices in Europe and some of the issues with energy scarcity. What is the sort of gating factors and the steps that convert somebody who's interested in your technology into a contract? Are you -- do you need to have a factory opportunity, do you need to have a demo full scale up? I mean, can you just sort of talk through those steps and your prospect funnel, if you would? Thank you.
Christie Obiaya: Yes, Rob, thanks for the question. Great question and good to talk to you this morning. Thanks for joining us. Yes, you're absolutely right. In light of all that's going on both geopolitically and in terms of fossil fuels, we are seeing if anything, at this time, increased demand for what we're providing to the market. We see that on the fossil fuel price side, if the past few months have shown us anything, it's that between the geopolitical risks and the fossil fuel price volatility, there's going to be a greater need for energy technologies like ours that can provide that greater stability, and protect the likes of our prospective customers from fuel costs volatility over the life of their projects, as well as to mitigate against the potential physical scarcity of fossil fuels that we've seen emerge in the recent weeks. And so, in terms of our near-term prospects, we're actually seeing a lot of demand, in particular for our heat offering. And so, one of the things that we've been doing is engaging with our prospective customers and continuing to progress those discussions and negotiations on a number of opportunities. We were thrilled to announce the formal contract signing of our first commercial scale project with Woodside Energy. So that's a huge milestone for us. We have a number of others in the works that we look forward to sharing more about soon. And then in terms of the timing and process of that, it really is a multiple month process typically. It varies somewhat, you asked Rob, about the kind of the gating factors. And I can say, just by way of background, prior to coming to Heliogen, I spent 11 years at one of the largest global engineering procurement and construction firms. And most recently, I've been the CFO of their energy division, but I have experience across the broad range of what services they provide to industries similar to what the one that we're targeting. And I can see that it really does vary a bit by industry in terms of what the norms are for deciding to go forward with a contract. And so oftentimes, we'll start with an engineering services contract, like what you saw in our revenues from last year. And other times, we won't have that as a gating function to move forward on a project. So that's kind of the long way of saying essentially, we've seen our prospects, if anything increased in terms of the level of interest in the market, and we're looking forward to progressing additional close contracts beyond what we announced yesterday with Woodside Energy.
Rob Wertheimer: Okay, perfect. Thank you. And just for a minor clarification, the heat product that you mentioned, Christie, is that sort of industrial use? I know there's a lot that can be done with that. But industrial use with Europe is that gas supplies are a little bit tight. I don't know if you can be any more specific or just explain what sort of demand I might feel when I'm stuck there. Thank you.
Christie Obiaya: Yes, thanks. Thanks for the follow-up. Certainly, that's a major market in Europe. The ones that we are focused on in terms of looking at regionally, where we're seeing a lot of opportunity are especially in the country of Australia. Australia has some of the largest industrial owner operators and users of energy, as well as emitters of carbon emissions. And so, with the heat opportunity that we see, especially given our partnership with Woodside Energy, who has unique access to that market, that's one area where we're seeing especially a lot of demand for heat products.
Rob Wertheimer: Perfect. Thanks.
Operator: [Operator Instructions] There are no further questions in queue at this time. I would like to turn the call back over to Mr. -- we do have a follow-up question from Rob Wertheimer with Melius Research. Please proceed.
Rob Wertheimer: Oh, hi. I'm sorry. So, I just wanted to ask one more if I wasn't taking up too much focus time. I wanted to sort of ask a similar question and Bill you kind of walk-through sort of some of the progress you've made on manufacturing et cetera. When we think about moving from contract to fully operating modules, I assume you're building the Heliostats in the factory. I assume you don't have like one-off production for the first ones. Can you sort of talk about what needs to be done in order to get those contracts in the operation? Is there any technical challenges that need to be solved? Is it actually rebuilt? Can you just sort of just talk about steps to go from the contract to the final? Thanks.
Bill Gross: Thank you, Rob. The projects have two main parts. There's the solar field where we collect the energy, which acts as the huge magnifying glass to collect all the solar energy and concentrate it, and then the tower and receiver. The tower and receiver get erected at the field. But our novel technology allows us to build the majority of the field in the factory. The factory that we just commissioned, and are in the process of failing up right now in Long Beach, California, will be producing all the Heliostats for the first project. And that will be ramped up in the second half of this year. And that factory will then be able to make Heliostats for future projects as well. It's a nice 90,000 square foot factory that has huge throughput capabilities. And the critical thing about our technology, I think, as you know is that we -- because our heliostats are small enough to fit in a shipping container, we can produce them on an assembly line and take away all of that manual labor of building them and welding and construction of those in the field. Because that's the part of the project that takes up many, many acres. And scaling that up is the novel part of our system.
Rob Wertheimer: Perfect. And are they any technical challenges that, I mean, I know you have the demo facility, I know you've run simulations back and forth, is there anything else that you're still working on design wise? Or is it more execution in factory production to complete the modules?
Bill Gross: Right now for the first project was scaling production to produce the heliostats in the quantity that we need. And we are very, very excited to demonstrate that first project at full scale at full commercial scale as soon as possible.
Rob Wertheimer: Perfect, thank you. And if I can, I'll just ask one last one for Christie, and I'll hop off. But you seem to have obviously ample cash flow or ample funding for 2022. And I know, the business could scale up in different ways it's kind of prospects come in and convert. I'm a little bit curious about the DOE funding you're receiving. Do you have a lot of opportunity in people who want to fund test projects, et cetera? Or how should we think about sort of funding the business as you move through this year into next? And I'll stop there. Thanks.
Christie Obiaya: Yes, great question, Rob. So, in terms of our near-term goals, like you indicated, we are well funded. And that includes being able to hit our near-term milestones, including laying our first tower, putting us close to the end of 2023 in terms of our need for funding. And so, we're in a really good position, being able to support our near-term goals. Now, in terms of what other sources of funding, we're looking at Department of Energy and other local and federal incentives and those sorts of things are absolutely on the horizon, not only for us, but for our customers in terms of helping to provide additional support for our projects moving forward. And so that's another source of funds that we're absolutely focused on. And then in terms of when we might be out for another fundraiser, because I think that's kind of inherent in your question as well, we're very fortunate to be well funded. And so, we're really looking at that more opportunistically from a position of strength rather than having that be kind of an urgent need that's driving us. And so, we feel really good about the guidance that we’ve issued in terms of targeting three projects completed in 2023 and our guidance for 2 to 3 modules contracted this year, absolutely give us -- gives us a strong path to achieve that. And so yes, I would say that we feel really good about where we are. We have a lot of exciting news that is giving us some great momentum, and we absolutely will look forward to getting our fair share as much as possible of the DOE incentives and other funding.
Rob Wertheimer: Perfect. All right. Thanks, everybody.
Operator: At this time, I would like to turn the call back over to Mr. Bill Gross for closing comments.
Bill Gross: Well, thank you very much, everyone. We're really, really excited about our progress. We can't wait to keep you updated on future things. Thank you for your attention and for your belief in us and we look forward to talking more soon.
Operator: This concludes today's teleconference. You may disconnect your lines at this time and thank you for your participation, and have a great day.